Operator: Hello and welcome to the Robert Half First Quarter 2016 Conference Call. Our hosts for today's call are Mr. Max Messmer, Chairman and CEO of Robert Half; and Mr. Keith Waddell, Vice Chairman, President and Chief Financial Officer. Mr. Messmer, you may begin.
Max Messmer: Good afternoon, everyone, and thank you for joining us. Good afternoon, everyone. Thanks you for joining us. As is our custom, I would like to remind you there are comments on the call today that contain predictions, estimates, and other forward-looking statements. These statements represent our current judgment of what the future holds and include words such as forecast, estimate, project, expect, believe, guidance and similar expressions. We believe these remarks to be reasonable; however, they are subject to risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Some of these risks and uncertainties are described in today’s press release and in our SEC filings, including our 10-Ks, 10-Qs and today’s 8-K. We assume no obligation to update the statements made on today’s call. For your convenience, our prepared remarks also are available on our website at www.roberthalf.com. From the “About Us” tab, go to our Investor Center, where you will find the Quarterly Conference Calls link. Now, let’s review our first quarter 2016 results. Quarterly revenues were $1.303 billion, up 8% from the first quarter one year ago. Income per share was $0.64, up 10% from this time last year. Cash flow from operations was $79 million in the first quarter. Capital expenditures were $19 million. In February, we increased the quarterly cash dividend from $0.20 to $0.22 per share. This is the 11th consecutive year we’ve increased the dividend amount. The dividend was paid to shareholders on March 15, for a total cash outlay of $29 million. We also repurchased 700,000 Robert Half shares during the first quarter, at a cost of $29 million. We have 9.7 million shares still available for repurchase under our board authorized stock repurchase plan. The U.S. job market remained solid in the first quarter as did demand for our professional staffing and consulting services, resulting in year-over-year revenue growth in all lines of business. Our accounting and finance staffing divisions had a particularly strong first quarter. This was the company’s 24th straight quarter of double-digit earnings per share percentage growth on a year-over-year basis. Our unlevered return on equity was 33%. I’ll turn the call over to Keith now for a closer look at our first quarter results.
Keith Waddell: Thank you, Max. Global revenues were $1.303 billion in the first quarter, up 8% from the first quarter a year ago on a reported basis, and on a same day, constant currency basis. First quarter staffing revenues were up 7% on a same day, constant currency basis. U.S. staffing revenues were $900 million in the first quarter, up 9%. Non-U.S. staffing revenues were $215 million, up 4% when adjusted for billing days and currency exchange rates. We have 330 staffing locations worldwide, including 90 locations in 17 countries outside the United States. The first quarter had 62.7 billing days, compared to 62.0 days in the first quarter one year ago. The difference in billing days had the effect of increasing by 1% of the reported year-over-year revenue growth rate for the quarter. The current second quarter has 63.9 billing days, compared to 63.2 days in the second quarter of last year. Currency exchange rates had the effect of decreasing reported year-over-year staffing revenues by $11 million in the first quarter. Exchange rates decreased year-over-year reported staffing growth rates by 1%. Global revenues for Protiviti were $187 million in the first quarter, with $158 million in revenues in the United States and $29 million in revenues outside the U.S. Protiviti revenues were up 14% year-over-year on a same day, constant currency basis. U.S. revenues were up 15%, and non-U.S. revenues were up 8% from the prior year. Exchange rates had the effect of decreasing year-over-year Protiviti revenues by $1 million in the first quarter and decreasing the year-over-year reported growth rate by 1%. Protiviti and its independently owned Member Firms serve clients through a network of 75 locations in 25 countries. Accompanying our earnings release is a supplemental schedule showing year-over-year revenue growth rates on both a reported and same day, constant currency basis. This data is further broken out by U.S. and non-U.S. operations. This is a non-GAAP financial measure that offers insight into certain revenue trends in our operations. Now, let’s talk about gross margin. Gross margin in our temporary and consulting staffing operations in the first quarter was 37.1% of applicable revenues. This is a 10 basis point improvement from the same period one year ago as higher pay/bill spreads offset lower temp-to-hire conversion revenues. First quarter revenues for our permanent placement operations were 9.5% of consolidated staffing revenues, which is up slightly from last year’s 9.4%. Together with temporary and consulting gross margin, overall staffing gross margin improved by 20 basis points versus one year ago, to 43.1%. First quarter gross margin for Protiviti was $51 million, or 27.4% of Protiviti revenues. Gross margin one year ago for Protiviti was $47 million, or 28.8% of Protiviti revenues. Staffing SG&A costs were 32.4% of staffing revenues in the first quarter versus 32.2% in last year’s first quarter. SG&A costs for Protiviti were 19.6% of Protiviti revenues in the first quarter compared to 18.8% of Protiviti revenues in the year-ago period. Operating income from our staffing divisions was $119 million in the first quarter, up 7% from the prior year. Operating margin was 10.7%, the same as the prior year. Our temporary and consulting staffing divisions reported $98 million in operating income, an increase of 5%over the prior year. This resulted in an operating margin of 9.7%. Operating income for our permanent placement division was $21 million in the first quarter, up 13% from the prior year and producing an operating margin of 20.2%. First quarter operating profit for Protiviti was $15 million, a decrease of 11% from the prior year. This produced an operating margin of 7.8 %. At the end of the first quarter, accounts receivable were $734 million, implied days sales outstanding, DSO, was 51.3 days. Now, turning into guidance. Before we turn to guidance, let’s review the monthly revenue trends we saw in the first quarter and so far in April, all adjusted for currency. Globally, year-over-year revenue growth rates for our temporary and consulting staffing divisions decelerated slightly during the quarter, and we exited the quarter with March revenues growing 6.3% compared to 6.7% for the full quarter. Revenue growth for our staffing and consulting services in the first two weeks of April was up 5.5% compared to the prior year. Global permanent placement revenue growth rates accelerated during the first part of the quarter then moderated thereafter, with March revenues growing 1.5% compared to 8.6% for the full quarter. For the first three weeks in April, permanent placement revenues were flat compared to the same period last year. This information is designed to offer a glimpse into trends we saw during the first quarter and in April. But, as you know, we hesitate to read too much into these numbers as they represent very brief periods of time. With that said, we offer the following second quarter guidance. Revenues: $1.325 billion to $1.385 billion, income per share $0.70 to $0.76. The midpoint of our guidance implies year-over-year revenue growth of 6% on a reported basis and adjusted for currency, including Protiviti, and EPS growth of 8%. We limit our guidance to one quarter. All estimates we provide on this call are subject to the risks mentioned in today’s press release and in our SEC filings. Now, I’ll turn the call back over to Max.
Max Messmer: Thank you, Keith. We were pleased with the company’s performance during the first quarter. Our results were boosted by still low U.S. unemployment in numerous professional occupations and stronger labor markets in key international locations. The number of U.S. job openings has exceeded the number of hires since February 2015, according to the most recent Job Openings and Labor Turnover Survey from the Bureau of Labor Statistics. The competition for skilled talent is intense. Multiple offers and counteroffers are common for high-demand candidates, particularly in technology and accounting. Internationally, we see higher demand for professional level talent in a number of markets, notwithstanding the economic headwinds that persist outside the United States. We feel we will continue to benefit from a widening skills gap in a number of our professional specialty areas. Employers that are struggling to find needed talent are recognizing that flexible staffing can help them manage total labor costs and also increase the pool of potential full time talent through temporary-to-hire arrangements. Turning now to Protiviti: We were pleased with Protiviti’s performance during the quarter, including once again reporting double-digit revenue growth on a year-over-year basis. Protiviti has an excellent growth outlook based on multiple factors favorably influencing service demand. These include a robust regulatory environment and increased need for stronger internal controls and data security measures, among others. At this time Keith and I would be happy to answer your questions. We ask that you please limit yourself to one question and a single follow-up as needed. If time permits we'll certainly try to return to you if you have additional questions. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Mark Marcon with R.W. Baird. Your line is open.
Mark Marcon: All right. Good afternoon, and thanks for taking my question. Just wondering, with regards to the trends that you've been seeing on a monthly basis as well as quarter-to-quarter and on a same business day perspective, how would you characterize this relative to what you've seen in prior stages, you know, prior cycles and what this is telling us with regards to where we are in this current cycle? I know you are always realistic about, not saying that you're economists, but just, you know, got a ton of experience. So that's one. And then secondly can you just talk a little bit specifically about what you saw in RH Technology as well as in Perm you know, in this quarter and in March?
Max Messmer: Okay. So several sub questions there. So about trends, comparing cycles, clearly we see clients remaining cautious due to the uncertain macro environment. That lengthens the sale cycle. Further as we talked about before, candidates have many options with their current employer, with other employers. That makes them harder to close. That also lengthens the sale cycle. So generally speaking across our divisions, less so with the accounting and finance ones, but the sale cycle has elongated which has impacted our growth rates and is expected to impact our growth rates into the second quarter. Compared to prior cycles, it usually gets white hot for candidates such that clients will very quickly take any candidate that's close and the current environment is no where near that environment, so to the extent in prior cycles, late stage has been indicated by this white hot hyper demand where permanent placement grows at very high double-digit rates. That hasn't happened and notwithstanding the fact that we're in year seven or whatever of this cycle, we still don't see that type of hyper demand that we would typically see late cycle, but instead we continue to slug it out in this relatively sluggish macro environment. We saw that again in the first quarter. Our guidance anticipates more of same in the second quarter. With respect to RH Tech and Perm I would say those trends were particularly evident in both of those divisions. While it's true that Tech's year-over-year growth rate slowed from 10% to 6%, if you look at the year-ago comps they got harder from 12% to 19%. So given the tougher comps, the deceleration in the growth wasn't totally unexpected. Perm did fine in the beginning of the quarter, as we said. It decelerated late. That deceleration continued into the first part of this quarter. That said, we all know from experience that those are short periods of time. They were disproportionately impacted in the post-quarter start by our non-U.S. operations. But on balance the guidance we're giving is that the economy will continue to chug along at a slow rate. The sales cycle has elongated. Its taken longer to close deals; that includes Perm, that includes Tech. And therefore our growth rates have slowed modestly.
Mark Marcon: And as the year unfolds the comps get easier. Do you think on a sequential seasonally-adjusted basis things will continue to slow? Or do you think it's basically, based on what you're currently seeing, kind of holds around this level?
Max Messmer: Well, as you know we typically don't go beyond a quarter, but we've been slugging it out in a 1% or 2% GDP environment for several years. The comps do get easier; that's certainly better than them getting harder. It gives us a better shot at decent growth rates in the back side of the year. They are certainly plenty of economist types out there that say GDP growth will accelerate in the back half of the year. We don't know if that's true or not but easier comps are better than harder comps.
Mark Marcon: Great. Thanks for the very comprehensive answers.
Operator: Your next question comes from the line of Tim McHugh with William Blair. Your line is open.
Stephen Shelman: Hi. It's Stephen Shelman in for Tim. Thanks for taking my questions. First, I believe this was the first year-over-year margin decline that we've seen in a while for Protiviti. So what caused the underlying decline? How has consultant utilization trended? And how should we think about overall Protiviti margins kind of going forward?
Keith Waddell: Yes. So first of all Protiviti once again, on very tough comps reported very robust revenue growth. They were up 14% on comps that had grown 26% in the year-ago period. That said, on the cost side there have been many investment hires on the MD side to expand their practice, both in the U.S. and abroad. January 1 is the date for the annual raises for their entire practice. The raises, due to the competitiveness of the market, were higher this year than they were in years past, so the combination of those two, their direct costs were up 17% on the revenues that were up 14%. Clearly some of those costs are front loaded for the full year. We expect to leverage those as we progress through the year. We would also observe that in the Financial Services Regulatory Consulting Practice we had some projects again that were delayed and deferred. On a few new projects the rates were lower than they had been in the past as some clients get a little more cost conscious. That Regulatory Practice for many quarters in a row has had absolute hyper growth. In this quarter it went from hyper growth to fantastic growth. It's just shades of really good, but it was slightly slower this quarter than we expected frankly. And to the extent it was a little light relative to our plan, all of that lightness dropped all the way to the bottom line. So notwithstanding very robust revenue growth, our margins declined year-over-year, as you noted. As we move into the year for the second quarter, we expect Protiviti to still have growth in the low to mid-teens. Again, that's on very tough comps a year ago, which were up 23%. We think the margins will grow nicely sequentially but the margins will still be slightly below last year's levels. That said, we do expect to get back into double-digit percentage operating margins, which is certainly going in the right direction. Demand for Protiviti's services remain strong. The pipeline remains strong. It had a very good quarter. It certainly has been aggressive, adding to capacity. It will now leverage that capacity over the rest of the year and the margins will improve. It's our fastest-growing division. It's been our fastest-growing division for several quarters running. We're very pleased with Protiviti.
Stephen Shelman: Okay. That's very helpful. And then just a numbers question; what was the conversion fees in the quarter as a percentage of revenue?
Keith Waddell: So conversions were 3.2% of revenue for the quarter. As we said earlier, overall our Temp margins expended by 10 basis points. That's notwithstanding a 10 basis point contraction in conversions, which mean our pay bill spreads more than made up for that, so they were down a tick. Clearly we would have liked to have seen those a bit higher. We're still optimistic over the medium-term that we have some upside in conversions, but for this quarter they backed up just a little bit.
Stephen Shelman: Great. Thank you.
Operator: Your next question comes from the line of Jeff Silber with BMO Capital Markets. Your line is open.
Jeff Silber: Thanks so much. I was wondering if you can give us a little bit more color by geography, specifically outside the United States? Thanks.
Keith Waddell: Sure. The – once again Germany by leaps and bounds was our strongest non-U.S. operation. It performed just wonderfully on very tough, tough comps a year ago. It's where we've invested the most head count. It's where we focused the most effort. And we're getting a very nice return on our German investment. The UK and Belgium were also very solid. On the flip side we had challenges in Canada and Australia, which are minerals mining related and France continues to struggle a little bit as well, but Germany easily number one, UK Belgium solid, the other three trailing behind a bit.
Jeff Silber: Okay. Great. And we noticed I guess the spike in year-over-year growth in some of your accounting areas. Is there anything specific that's moving that needle?
Keith Waddell: Let's say first of all, across all of our accounting related divisions, whether it's Accountemps, whether it's Management Resources or whether it's Protiviti, you've got a backdrop of more focus on internal controls, you've got a backdrop of more regulation that has to be figured out, processed, dealt with, complied with, so that overall umbrella is helpful for all our accounting divisions, but further than that we would also observe that there's a shift to higher-level skills. In Accountemps it's a shift from accounts payable/accounts receivable payroll to staff and senior accountants and to business analysts and management resources gets the shift to more accounting managers, more controllers, more senior analysts. So the net of that is the assignments are a little longer, there's a little less candidate turnover and so you see higher growth rates in Accountemps, Management Resources, and as we talked about earlier that, and Protiviti, that are all somewhat related with more complexity comes the need for higher skills and we are seeing that positive skill drift if you will, that you can see we're benefiting from in those divisions.
Jeff Silber: All right. Great. And just a quick numbers question. I noticed the tax rate was down a little bit year-over-year, was there something specific going on and what should we be modeling for the rest of the year? Thanks.
Keith Waddell: So the tax rate was lower. Our foreign tax rate was lower than we had projected. We made some elections that reduced those rates positively. Some of that actually carries through for the rest of the year, so we've talked about 39% being the midpoint of our range of 38% to 40%, so maybe rather than 39%, maybe it's now 38.75%. I mean it's still in that range, but as you know and as you've seen for many quarters our tax rates are bit volatile and the source of the volatility is typically non-U.S. tax rates.
Jeff Silber: All right. Great. Thank you so much.
Operator: Your next question comes from the line of Sara Gubins with Bank of America Merrill Lynch. Your line is open.
Sara Gubins: Thank you. I'm hoping you can give us some more detail about what's incorporated into the second quarter guidance for revenue by segment, gross margins and SG&A trends. And I know you already went through some of that Protiviti.
Keith Waddell: Okay. So by segment I would say, without getting totally granular, generally speaking we would expect Accountemps and Management Resources to have higher growth rates than the other staffing divisions. We've already talked about Protiviti. At the gross margin line our guidance contemplates a contraction of 10 to 20 basis points for temp gross margin; however, that's because we have not considered any additional worker's compensation credit that we got a year ago, that a year ago was 20 basis points. So with no consideration of a worker's compensation credit this quarter we're talking about temp G&A being down 10 to 20 basis points. If you figure we get our worker's compensation credit, which we have a third-party review and we just don't know although for many quarters we have gotten one, then we wouldn't have that contraction. On the staffing SG&A side we believe we will start to leverage the headcount investments we made in the second half of last year because we're holding those pretty much constant in the quarter just ended as well as the second quarter ahead, as we've talked about in the past, so that we should get 10 to 20 basis points of year-over-year SG&A leverage. So again, in the absence of any worker's comp credit our staffing operating income percentage would be down 30 to 40 basis points year-over-year; half of that would be worker's comp. A piece of the balance of that would be expected less Perm mix than we had a year ago. The second quarter's always a strong Perm quarter and you get a nice lift sequentially. We got a really nice lift a year ago. We're expecting a lift this quarter, but not as much lift as we had a year ago. We talked about Protiviti; year-on-year we'll be down a point or two operating margin wise but that will be up sequentially versus what we just reported. Tax rate we just talked about, share count would be down half a million shares or so, as they flow through what we bought in the first quarter.
Max Messmer: So at a high level, we see a couple of points of top-line deceleration as we go into the second quarter, we hope we're being conservative, but with, when people start talking about Q1 GDP growth being sub 1%, we thought it prudent to be conservative and frankly our start in April is a little stronger than the full quarter guidance that we've given, but it's not a lot stronger.
Sara Gubins: Okay, great. And then given the trends that you've seen, I know you're not adding to headcount, but are you making, are you starting to consider or planning any cost cuts in Temp or in Perm?
Keith Waddell: We constantly look at our headcounts and with the turnover early in our business, there's a lot of attrition. So you get a lot of opportunities to decide do you replace the attrition or do you not replace the attrition, so we will focus carefully on our headcounts. We still are growing, projected to be 5% or 6% top-line, so it's not like we're not growing. But we always look at our headcounts and to the extent we feel like adjustments are needed, it's just part of the ordinary course of our business with attrition that we get a lot of opportunities to adjust in a very quiet behind-the-scenes kind of way.
Sara Gubins: Okay. Thank you.
Operator: Your next question comes from the line of Gary Bisbee with RBC Capital Markets. Your line is open.
Jay Hanna: Hey, this is actually Jay Hanna on the line for Gary today. You mentioned it earlier but typically as a cycle matures we begin to see Perm again the really accelerate and outgrow Temp which hasn't truly happened yet. I was wondering if you could shed anymore light on this and also just give your thoughts on what's really happening within the dynamics of each. Thanks.
Keith Waddell: We would agree, as we talked about earlier, typically when you get late cycle you get hyper Perm growth and we haven't seen that. Demand has not overheated anywhere near to the extent that it has in prior cycles. That in and of itself would be indicative of we're not late cycle. That said, we are in the condition where our internal sale cycle has lengthened clients take longer to pull the trigger. Candidates with all their options take longer to close and even with robust demand and even with Canada's supply, when it takes longer to close a deal that shows up in our growth rates. But relative to cycles past, the demand environment has not overheated nowhere near to the extent which it has in prior cycles. And our Perm growth rates are pretty reflective of that.
Jay Hanna: Great. Good. Thank you.
Operator: Your next question comes from the line of Anj Singh with Credit Suisse. Your line is open.
Anj Singh: Hi. Thanks for taking my questions. First off I wanted to touch on international Perm. I guess I had anticipated it to be a little bit better. You had been talking about some headcount additions there. Could you talk about perhaps how international Perm did versus your expectation? And when we may start seeing some of your headcount adds they are start showing up in your results?
Keith Waddell: Well, as we talked earlier it's a very mixed bag. The most headcount investments we've made have been in Germany, Temp and Perm, but including Perm. And no question Germany came through with flying colors and we're very happy with the investment and we're real happy with the return. That improvement was offset by some declines in the other countries that I talked about. So when you put the two back together you don't see the net improvement that we would like to see, but it's not because the places where we invested didn't perform; it's more because the places where we didn't invest were more challenged than what we expected.
Anj Singh: Got it. And then touching on Tech, I know it was discussed a little bit earlier; could you just talk about that some more? Did you experience that market slowing a little bit? Some of your competitors have mentioned that the Tech Staffing market was a little softer in Q1. Curious to see if you saw that also or if the slowdown was purely a function of tougher comps?
Keith Waddell: Well, clearly tougher comps was a big part of the story, given how much tougher the comps got. But this whole this phenomena of the sales cycle elongating certainly applies to Tech. We have had clients take longer to pull the trigger; if you want to call that softening that would be fair. Candidates are still in tight supply, particularly the mid to higher level candidates. It does take longer to close them. That impacts growth rates as well. So we would characterize as the market for Tech as firm, as strong, but it's taking us longer to get deals closed and therefore our growth rates are slowing, exacerbated by the toughness of the comps.
Anj Singh: Okay. Understood. And then one last quick one from me; as you look at industries that are perhaps seeing longer sales cycles, is there anything that stands out in particular? Is there an industry in particular that's causing this, I just curious to hear your thoughts there? Thank you.
Keith Waddell: Particularly on the staffing we're very diversified from an industry end market point of view, so I wouldn't necessarily single out any industry per se. On the Protiviti side it is more Financial Services focused. You do have some of the larger Financial Services firms a little more focused on cost control than they have been in the past. Having said that, the regulatory compliance environment, even at those largest of the large Financial Services firms, is still robust; it’s just not quite as robust as it has been. It’s degrees of strong, it’s not the difference between strong and weak.
Anj Singh: Okay. Great. Thank you for your time.
Operator: Your next question comes from the line of Andrew Steinerman with JPMorgan. Your line is open.
Andrew Steinerman: My first question is how much were bill rates up? And my second question, and I know you keep on saying candidates are in tight supply, taking longer to close, do you mean that supply is holding back your growth rates?
Keith Waddell: So bill rates were up 4.7% year-over-year. That’s down slightly from the 5% they were down last quarter, but not...
Andrew Steinerman: Yes.
Keith Waddell: Right. That’s a smaller rate of growth than the 5% rate of growth from last quarter, to be real clear. And is candidate supply holding growth? It’s certainly impacting growth, yes. There’s no question that if we could close candidates more quickly we would be growing more quickly. That’s not to say that the candidates aren’t there, it’s their confidence level that if they don’t take this job there’s going to be another job available to them makes it harder to convince them to take this job. And to the extent it’s harder and takes longer, that impacts our growth rates. So are we saying the candidates aren’t there? We are not. Are we saying because they have more confidence in their alternatives it takes longer to get them to say yes? We are saying that.
Andrew Steinerman: And that’s even true on the Accounting Temporary Help side, right?
Keith Waddell: It’s true on the accounting side. I’d say it’s not as severe in, as it is in Tech development, but on the accounting side in the mid to higher levels which is where our practice near term is gravitating toward, but clearly there are shortages. Our regulatory compliance would certainly be the case. Senior financial analysts certainly would be the case. So there are pockets in Accounting/Finance, but as a percent of Accounting overall, they’re not as significant as is the case in Tech.
Andrew Steinerman: Got it. Thank you.
Operator: Your next question comes from the line of Tobey Sommer with SunTrust. Your line is open.
Kwan Kim: Hi. This is Kwan Kim on for Tobey. Thank you for taking my questions. Could you talk about the head count additions and how they rate by area? You mentioned investment hires in Germany. Could you give us more color in those areas?
Keith Waddell : Okay. So for the quarter there virtually were not any head count additions which is what we expected the case to be. We front loaded 2016’s higher than the second half of 2015 and we announced then that we didn’t expect much in the way of head count addition in the first half of 2016 and that has in fact been the case. Now there are always pluses and minuses, one line of business to another and one country to another, but outside the U.S. we’ve been the most aggressive in adding to head count in Germany. And as I said earlier, that’s both Temp and Perm and it’s paid off nicely. It continues to pay off and will continue to invest heads in Germany. But we will net up as many heads as we’re adding to Germany alone because we’re doing some adjusting in other countries. Got it. And on the Technology segment, what is your outlook for the bill rate growth? Does the growth be on par with the company average?
Keith Waddell : Our expectation would be bill rate growth would be a little higher than our overall bill rate growth because candidates are in shorter supply. That said, just as a sector, there seems to be more pressure on bill rates and technology than our other lines of business. Whereas our other lines of business clients focus on our markup or our margin, in technology they tend to focus more on the absolute bill rate and that’s something that’s existed for decades which is a little head scratching, frankly, given supply and demand dynamics. But short story is the bill rates in Tech are a little higher than overall, but arguably aren’t as much higher as you would expect them to be given relative supply and demand of candidates.
Kwan Kim: Thank you very much.
Operator: Your next question comes from the line of George Tong with Piper Jaffray. Your line is open.
George Tong: Hi. Thanks. Following-up on the earlier question on lower Temp conversions in the quarter, can you discuss how broad based this was? And what factors you believe may have contributed to this decline?
Keith Waddell: Well, as to how broad based it was, it wasn’t isolated and it was certainly something we saw in more than just one or two lines of business. First of all, let’s keep in mind we’re talking about 10 basis points. So we can’t come up with broad theories over 10 basis points. But we did say – we did see situations where – that weren’t isolated where we had an order that was a temp to hire order, and because the market is hot our candidate left for a full-time job with some other client rather than hang around and be converted to full time on the assignment they started with us, which is yet another indication of candidate tightness. Having said that, in the past we would typically see clients converting them more quickly to avoid that situation. And that isn’t happening at the moment with the macro conditions and the macro backdrop we’ve described.
George Tong: Got it. And then just a quick second question; notwithstanding the pending workers’ comp credit, can you discuss whether you believe we’re at or near a peak in Temp gross margins? And if not, wherever they can go?
Keith Waddell: Well, we do not believe we’re at or near peak on Temp gross margins. We do not believe 3.2% of revenue is peak conversions when the traditional range is 3% to 5%, midpoint being 4%; we just do not accept that 3.2% is as good as it gets. And whatever more we get above that is pure margin. Further, we’ve still got 30 basis points to 40 basis points in unemployment fringe cost higher than what they were at the last low point. That’s upside, that upside will be offset a little bit by you’ve got more and more states adding mandatory sick pay for our temporaries, and so that sick pay is going to offset some of those 30 basis points to 40 basis points that you’re going to get on unemployment. But net we still think there’s upside between the two. On the pay bill spreads, as late as this quarter just ended we did expand our pay bill spreads. There’s not as much upside there as there is in the other two areas, but we’ve done a nice job with our pay bill spreads but we’ve – that continued into this quarter. While we think we’ve got a little room to go with our pay bill spreads, we think more of the future expansion will come from conversions and lower fringe charges.
George Tong: Got it. Thank you.
Operator: Your next question comes from the line of Randy Reece with Avondale Partners. Your line is open.
Randy Reece: Afternoon. I wanted to discuss the question of how you avoid earnings shortfalls in an environment like this when recruiting effort necessary to fill positions seems to be rising, making it more difficult to improve recruiting efficiency. Your actual placement rate can be choppy because demand is all over the place. And then you can have people converted out from under you because of a tight labor market.
Keith Waddell: Well, and to some degree all those things are true, Randy, but to the extent clients get more bullish, if in fact the second half macro improves, they’re not going to wait as long to pull the trigger. And to the extent they don’t wait as long to pull the trigger, then the sales cycle shortens and we expand our margins. And further, while we’re growing mid-single-digits in this environment, we still get some operating leverage from doing that; notwithstanding that we are making infrastructure improvements internally to our ERP system, to our staff payroll system, to Protiviti’s front office system as well. We still get some operating leverage over time from growing revenues, period. So we believe we certainly have not peaked from an operating margin standpoint. Protiviti’s cost got a little ahead of their revenues this quarter, but for heaven’s sakes, they grew their revenues almost 15% on mid-20% growth a year ago. They’ve got the rest of the year to leverage themselves out of that and you’ll see margin improvement from it.
Randy Reece: The other question I had regard to the office team, the revenue has just been kind of decelerating there pretty steadily for a while and I was wondering if there was any particular phenomenon involved there or if it’s a lot of different explanations?
Keith Waddell: It’s a lot of different explanations except I think you’ve got an open enrollment lift the last couple of years as company reviewed their medical insurance policies, whether they should go to private exchanges, whether it was ACA motivated or related or not. There’s been a lot of motion and active with clients in the insurance enrollment area, medical insurance enrollment area. And that hasn’t been quite as robust the last couple of quarters as it was in quarter’s past.
Randy Reece: Very good. Thank you.
Operator: Your next question comes from the line of Manav Patnaik with Barclays. Your line is open.
Unidentified Analyst: Hi. This is Ryan, filling in for Manav. Just a question, on the first quarter we saw obviously the share price was under, it was levels that I think a lot of us were surprised to see. So just kind of curious what if that process was with the buybacks and whether there’s any discussion about kind of going above and beyond and it really kind of stepping in with that market dislocation?
Keith Waddell: I guess our experience over many years is that you never know whether it is undervalued or overvalued over a short period of time. And generally speaking we spend our cash flow, if it's down we get more shares, if it's up we get fewer shares. And so during the quarter we spent a little more than our cash flow not much, but it's pretty much dollar cost average, because over short periods of time you don’t know. We bought more shares than we would have bought because of the price. And that's been our policy and philosophy for many years. It seems to have done well for us when the price dips and goes back up, we can always be criticized for not getting more. We've also seen the other happen, but at the end of the day it's pretty much we spend our cash flow.
Unidentified Analyst: Okay. Fair enough. And there's a lot of talk on kind of the cycle and tighten if the labor market. Is there any possibility that this cycle is different because of the impact of technology especially on higher end candidates who maybe are leveraging different tools to look for jobs or companies that are leveraging these online tools to find candidates that maybe having an impact this time versus prior cycle?
Keith Waddell: Look, anything is possible. I guess as the labor markets tighten, we would observe. It takes more human intervention, not less, because somebody has to convince either or both sides that they need to move forward with this job or what this candidate. So whereas clearly there are more technology options to be job boards, to be job aggregators, be it social media including LinkedIn, finding the identity or an existence of a candidate or a job isn't hard nor has it been hard for a long period of time. But just as our efforts are more labor intensive to get things closed, we would argue self-service either by a candidate or by a client is less effective as well. And in fact, those same technology driven options you describe, are also places, are also tools we use in our own recruiting of candidates, and in our own pursuit of leads for which clients are looking for people. We have more visibility to open job orders or unfilled openings today than we've ever had. We have more visibility candidates in our functional roles today than we've ever had. But notwithstanding that greater visibility in the both sides of our business, we find it's more labor intensive today, not late – less labor intensive to get things done.
Unidentified Analyst: Got it. Thank you.
Operator: Your final question comes from the line of Hansa Mazzarri with Sterne Agee. Your line is open.
Hansa Mazzarri: Thank you. Just heard a question on the sales cycle, you gave a lot of color on it being elongated versus prior cycles. Just curious order of magnitude, is this the longest elongation that you've seen versus prior cycles? Any sense of how to compare to what you've seen before? Thank you.
Keith Waddell: That’s a subjective evaluation on our part. I'd say, we certainly haven't seen a cycle that's lasted this long, that's had sluggish 2% and less growth rates economically for this long. And so you've got this odd situation where clients are still cautious because they're worried about the macro. But because the lapse time has been so long on the candidate side, they have a lot of choices. And so you get both sides of the equation dragging their feet to our detriment to some degree. And we've been here now 30 years. And because it's easier to remember the near-term than the long ago, it's easy to say yes, it's the longest we can ever remember, but as a subjective answer.
Max Messmer: I’d just add to what Keith said. The current environment is really peculiar because you have a lot of small and mid-size clients we deal with, who on the one hand know they need help, on the other hand they're nervous about the economy, and there's a lot of delay and procrastination involved. They they're about as uncertain as which way the economy is going as the stock market appears to be. That the slow GDP growth rates make them nervous, they're part of it. And yet they see demand in their own businesses, so that’s encouraging. So I think everyone is in a little bit state of limbo here, waiting to see what the macro economy is going to do. From our standpoint, it certainly doesn't feel late cycle, let's put it that way. We've had elongated sales cycles in the past and my guess this one will change also and go to a more traditional format depending on which way the economy breaks in the months ahead.
Hansa Mazzarri: Great. Thank you, thank you so much.
Max Messmer: Thank you. That was our last question. We appreciate everyone joining us on today's call.
Operator: This concludes today's teleconference. If you missed any part of the call, it will be archived in audio formats in Investor center of Robert Half’s website at www.roberthalf.com. You can also dial the conference call replay. Dial-in details and the conference ID are contained in the company's press release issued earlier today.